Operator: Good morning, ladies and gentlemen, and welcome to the Altius Minerals Q2 2025 Conference Call and Webcast. [Operator Instructions] Also note that this call is being recorded on Tuesday, August 12, 2025. I would now like to turn the conference over to Flora Wood. Please go ahead.
Flora Wood: Thank you, Sylvie. Good morning, everyone, and welcome to our Q2 conference call. Our press release and quarterly filings came out yesterday after the close and are available on our website. This event is being webcast live, and you'll be able to access a replay of the call along with the presentation slides that have been added to our website at altiusminerals.com. Brian Dalton, CEO; and Ben Lewis, CFO, are both speakers on the call. The forward-looking statement on Slide 2 applies to everything we say both in our formal remarks and during the Q&A session. And with that, Ben is up first to take us through the numbers.
Benjamin Gerard Lewis: Thank you, Flora, and good morning, everyone. Royalty revenue for Q2 2025 was $12.7 million. compared to $20.4 million in Q2 2024. Adjusted EBITDA for the 3 months ended June 30, 2025, was $7.5 million compared to $14.5 million for the prior year quarter. In the current quarter, the decrease in both revenue and adjusted EBITDA reflect lower attributable potash volumes and lower dividends from iron ore, partially offset by higher base metal prices. Potash attributable royalty volumes have now -- have been low relative to Nutrien and Mosaic reported volumes, partially from the split between units at Rocanville and from maintenance turnarounds that occurred during the first half of the year. Both Nutrien and Mosaic have increased their production guidance for the year. Revenue in the prior year quarter also included nonrecurring investment income of $3.6 million related to the settlement of a loan receivable. Q2' '25 adjusted operating cash flow of $4.7 million compares to $8.3 million in Q2 last year. The decrease is largely reflective of lower royalty revenue receipts. Net earnings for the second quarter of $5.5 million or $0.12 per share compares to net earnings of $8.3 million or $0.18 per share in Q2 2024. Net earnings reflects lower revenues, partially offset by lower costs and expenses, amortization and interest. Q2 2025 adjusted net earnings of $0.03 per share is lower than the second quarter of 2024, with the main adjustment items being foreign exchange and a $1.8 million income tax recovery relating to the recognition of certain tax losses. I'll now turn to capital allocation and liquidity. During the quarter, we made scheduled debt repayments of $2.0 million, paid total cash dividends of $3.8 million and issued a little over 14,000 common shares valued at approximately $381,000 under the corporation's dividend reinvestment plan. There were no shares repurchased in Q2 as the corporation had imposed an internal trading blackout on its shares while a sales process involving the Silicon royalty was ongoing. The Board of Directors also declared a quarterly dividend of $0.10 per share, which represents an increase of 11% over recent quarterly amounts and will be paid to shareholders of record on August 29, 2025, with the payment date of September 15, 2025. At June 30, our current liquidity consisted of $11 million in cash as well as $116 million in unused revolver available. Following the sale of the 1% Silicon royalty and the closing of the Triple Flag acquisition of Orogen, the corporation has considerably strengthened its balance sheet and liquidity profile. Cash after taxes and fees payable to financial and legal advisers is approximately $360 million, with total liquidity increasing to $540 million. This includes $116 million available under the revolving credit facility noted above as well as $62.5 million potentially available as an accordion feature under our debt, subject to certain criteria. Our renewable royalty business also remains well funded through its partnership with Northampton and also through cash on hand held at both the ARR and GBR levels. At June 30, ARR had cash of approximately USD 32 million, and the GBR joint venture had cash of approximately $35 million. along with available liquidity of approximately USD 85 million under its credit facilities. And with that, I'll turn it over to Brian to discuss the quarter's significant highlights.
Brian Francis Dalton: Thank you, Ben and Flora, and thanks, everyone, for being with us here today. The most significant highlights since we came together last was certainly our announced sale of 2/3 or 1% portion of our original 1.5% NSR royalty related to the Silicon or as it is now known, the Arthur Gold Project, Franco-Nevada. With this transaction, we believe that we struck an appropriate balance between crystallizing material value for our shareholders from this exciting discovery while retaining long-term exposure to its continuing upside potential. The decision to retain part of the royalty also marks the addition of a component of gold's exposure to our diversified portfolio. Combined with the slightly earlier sale of our major shareholding in Orogen Royalties, who owned a 1% royalty over Silicon, we now have a radically transformed balance sheet as well as a confirmed new top-tier royalty within our long-term portfolio. In base and battery metals, we continue to see organic growth developments across several assets. Voisey's Bay continues to ramp up nickel, copper and cobalt production following the recent completion of construction at the Reid Brook and Eastern Deeps deposits. In lithium, Grota do Cirilo Stage 2 expansion is underway. Mariana has begun to ramp up and Tres Quebradas is scheduled for construction completion later this year. The Curipamba gold, silver, zinc mine is under construction with first production expected late next year. On that front, it is worth noting that around half and perhaps more than half at current prices of the NSR value for this mine is expected to stem from precious metals. Finally, in base metals, we were very pleased this quarter to learn of the preliminary plans that have been outlined for the expansion of production at Chapada. Lundin Mining has noted that a PFS and permitting is underway to incorporate higher-grade ores from the recently discovered and nearby Sauva deposit into the broader Chapada district mining plan, with the potential to result in an overall increase in copper production by approximately 50%. In potash, we heard quite bullish second quarter reporting from both of our royalty mine operators. Each of these have indicated very strong market fundamentals and expectations for a new record in global potash demand this year. This is occurring against the backdrop of supply constraints in several competing production regions, and This combination has led to firmer pricing through the first half of the year. While volumes from our royalty mines were impacted by scheduled maintenance downtime in the second quarter, both operators continue to expect to meet or exceed production and sales guidance on a full year basis, while also completing incremental capacity additions. We'll also remind here that we typically experience an embedded approximately 1 quarter lag in pricing realization across these royalties. We also noted an announcement related to BHP's Jansen project this quarter, which reported upon a delay in first production and higher capital costs for its Phase 1 mine, together with indications of further expected delays and cost increases for its Phase 2 expansion plan. This has potential material implications for near- to medium-term supply-demand balances and also provides longer- term benchmarking support for incentive pricing calculations. A steadily compounding market growth drives an approaching need for major global production capacity additions, particularly from the end of this decade onwards. Turning to ARR. The increase in royalty revenue this quarter reflects organic growth in the portfolio as certain development stage roles ramped up operations over the last year with these including Canyon Wind, JayHawk, El Sauz and Young Wind. Angelo Solar royalty has also begun contributing revenue now as well. Existing development partners, including Enbridge, [ Hexicon, ] Nova and Nokomis continue to advance multiple projects in their portfolios, and these should allow us to remain on track along our expected growth trajectory. The GBR portfolio now represents total potential electricity generating capacity in excess of 18,500 megawatts, including 13 operational royalties totaling approximately 2,900 megawatts and 5 additional projects under construction totaling 1,500 megawatts that are currently projected to reach commercial operations by the end of next year. Looking to deployment in new royalties and ARR. During the first half of 2025, the renewable industry was in a state of great uncertainty as a result of pending policy changes, specifically as it relates to the phaseout of tax incentives regarding renewable energy development. As a result, most operators and renewable investors took a wait-and-see approach with very few transactions of any type closing in the industry during the first 6 months of 2025. In early July, the new legislation in the U.S. did provide clarity around time lines for the phaseout of tax incentives such that market participants can now better make investment decisions. Despite the accelerated phaseout of tax credits built into the new bill, there remains a robust demand for renewable power in the U.S. The demand for energy sources will continue to drive demand for renewable energy in the near term and power pricing is quickly adjusting to fill the gap left from the tax credit phaseout. The renewable industry has already seen strong PPA price escalation, largely due to increased demand from technology companies accelerating the build out of data centers for AI. GBR also continues to leverage the grid interconnection bottlenecks within certain regions of the U.S. by financing refundable interconnection deposits on late-stage development projects. For this, it is using a dedicated GBR level debt facility that allows it to generate a positive margin and develop further relationships within the sector that believes will result in additional royalty investment opportunities as projects advance through interconnection approval processes. It is currently in the process of deploying meaningful amounts of capital into this initiative, and we will expect to be in a position to report further on this next quarter. In iron ore, we have seen some production improvement begin to take hold at IOC as its capital reinvestment initiatives over the past few years begin to deliver results. Dividends remain somewhat subdued as this increased capital investment program continues. However, we are encouraged by the longer-term benefit potential. Champion and its new Japanese partners, Nippon Steel and Sojitz announced the completion of the partnership agreement concerning the development of the Kami project in July. The partners also continue to advance the project along several lines, including detailed engineering in support of the ongoing feasibility study, environmental permitting, aboriginal and other stakeholder agreements and discussions around potential government supports related to the designation of Kami's expected high-purity product under critical minerals frameworks. We believe it is also noteworthy that Nippon announced in late May, the sanctioning of a USD 6 billion investment to convert more of its traditional blast furnace steelmaking units in Japan to electric arc furnace space plants. These will require high purity iron ore inputs of the type that Kami is being designed to produce. In June, Altius' PG team submitted a detailed proposal as part of the Julienne Lake mineral land bid process being undertaken by the province of Newfoundland and Labrador. The Julienne Lake deposit is a large undeveloped high-grade iron ore deposit located approximately 25 kilometers northeast of the town of Labrador City. Altius holds claims that are contiguous with the EML and that cover extensions of the deposit. Moreover, Altius recently completed preliminary metallurgical test work in order to test the ability of the deposit to yield direct reduction grade iron ore concentrate, which yielded positive results. Elsewhere in PG, several new initiatives across select jurisdictions continue to advance as we seek to add new projects both directly and through partnerships. More on these efforts in quarters to come as the team looks to continue to execute on its long-term strategies and replicate the recent successes that has demonstrated at Silicon and Kami. Lastly, a few preemptory words on capital allocation before we turn to your questions. This was an important and fun discussion topic at our Board meeting yesterday. The gross cash consideration of $375 million from our partial sale of the Silicon royalty, combined with proceeds of $67 million from the sale of our interest in Orogen Royalties for Triple Flag has increased our total net cash position to more than $360 million and our total available liquidity to more than $0.5 billion. This provides us with considerable capital allocation flexibility and opportunity, and the team is now happily tasked with evaluating and ranking our various options, ranging across the spectrum of dividends, debt repayment, share count reduction, and external acquisition opportunities. Amongst these, we are currently primarily focused on comparing the merits of share repurchases or as we like to call it, internal M&A as well as external M&A possibilities. In evaluating the latter, we will continue to exercise discipline and we will remind or perhaps caution shareholders of the fact that we have within our history, a track record of patiently sitting on large cash positions for extended periods until the right opportunities emerge. It is worth noting, however, that our ability to now compete cash-based acquisitions without requiring new share issuances provides us with a somewhat broader purview of possibilities than we have had in quite some time. This is a function of the ability to avoid the factoring in of dilution to embedded portfolio option values as part of our analysis process. Our corporate development team is obviously happy about gaining this broader lens and are expecting a very busy autumn and beyond in completing evaluation and analysis of potential opportunities. We can also guide that at this time, there is little current emphasis or consideration being placed on issuing a special dividend or on becoming more aggressive with debt repayment. That said, as Ben noted, we did increase our regular dividend last night, and we will likely eliminate the modest amount outstanding under our revolving component of our credit facilities. I'll end by saying that this was certainly one of the most momentous quarters in our now almost 29-year history as a public company. I'm very proud to work within our team, and I'm very much looking forward to the times ahead as we continue to work hard to build on this momentum and special base of assets on behalf of our shareholders. Thank you. And with that, I will open up to questions, please.
Operator: Thank you -- go ahead, Ms. Wood.
Flora Wood: Thank you, Sylvie. I know you opened my line. We're having problems with people trying to dial in, and I know they've been unable to. So if we can just delay for a minute. And in the meantime, Brian, I do have a question that got e-mailed to us from Tyler, a shareholder. So I'll just start with that, which is around the time remaining until the NCIB expires August 21. He is wondering given the daily purchase limits under the TSX rules based on daily trading volume, would the company ever consider a substantial issuer bid as a way to deploy more capital into buybacks more quickly?
Brian Francis Dalton: Would we ever consider a substantial issuer bid? The answer is most certainly yes. In the time remaining before our next NCIB renewal, which is this month, no.
Flora Wood: Okay. I got one more. Sorry, we're just trying to resolve our line problem here. So Tyler is also noticing that GBR had drawn and deployed a significant amount from the interconnection credit facility subsequent to the quarter. And he's wondering is that connected to the OBB and the developers trying to secure favorable positions in the queue? And also, is there a royalty angle with these loans?
Brian Francis Dalton: Yes. Thanks for the question. I believe I largely addressed that in the prepared remarks, but I would say no, not particularly related to new legislation. This would be interconnection deposit schedules that would have certainly predated that the new legislation. So these would be just positions that have to be funded in order to hold against a lot of these discussions have been ongoing for some time. And sorry, what was the second part of the question?
Flora Wood: He was just asking if there was a royalty angle...
Brian Francis Dalton: In some cases, generally speaking, I think one of the things that we're excited about with this new interconnection funding process is that it is working very well in terms of building new relationships. So obviously, as a project, if somebody is willing to proceed and to fund interconnection deposits, there's future steps, which include obviously construction and building of the project. So we do have these relationships. I think the team is doing a really good job of demonstrating their innovation and ability to support the industry more broadly. So it's not that -- so we're not trying to make it that direct, at least not at this point, but we do believe a lot of goodwill is being built up, and we are seeing a lot more opportunity just because yes, the team is building relationships and earning a place in the industry as a trusted partner. So I would say that's certainly one of the goals of the whole initiative.
Operator: [Operator Instructions] And your next question will be from Craig Hutchison at TD.
Craig Hutchison: And just in terms of the use of proceeds, are you guys seeing opportunities to acquire producing assets in the base metal world? Or are you seeing more opportunity in terms of development stage assets?
Brian Francis Dalton: All of the above, and I'm probably not going to get much more specific in that, Craig, as it's a limited landscape out there, and so we're not going to be tipping our hands on anything we might be doing or not doing, but I guarantee this much. We won't be rash. We're going to be our typical patient boring frustrating [indiscernible].
Craig Hutchison: Okay. Maybe in terms of potash volumes, it was a bit lower this quarter because of some maintenance work. But are you seeing a pickup in terms of volumes here heading into Q3 based on what you know from the existing royalty counterparties?
Brian Francis Dalton: Our reporting is typically more after the fact with those groups. So really, we can only, at this point, I lean on the public statements. But yes, both of the operators were really bullish sounding in their own quarterly reporting Nutrien upped its guidance. Order books are full beyond full. There's commentary around the market actually probably going to have unmet demand this year. So it seems like they're certainly doing everything they possibly can to build up production. Mosaic talked a fair bit about a new project that they have up on top side at the mine around processing. They think that, that can give them an extra 400,000 tons incrementally. But look, I can only read what everyone else can read and listen to what everyone else can listen to. But it feels like these guys are sensing an opportunity, probably sensing it even greater now that BHP seems to be falling out of bed a little bit with Jansen. And I would be very surprised if they're not in the near term and probably more broadly in the medium term, if they're not going to flex their muscles and do what they've always done, and then that's like earn market share when the opportunity presents because they've got the best assets in the business.
Craig Hutchison: Okay. And maybe just one last one for me. Just in terms of the renewables business. I mean, are you able to provide sort of any kind of goalposts in terms of the growth rate we should expect here in the sort of back half of this year and heading into next year?
Brian Francis Dalton: Flora, you might want to help me with that in terms of what we've got published. We do have -- we have in the past, I know, put out sort of projected revenue growth, and that's based on really just the development pipeline that -- so these are already funded investments and information we've gotten from operators around construction time lines and whatnot. I don't know what the growth rate would be, but Flora, maybe you can help me out with that either here or in a subsequent follow-up. But yes, everything seems largely on track. Look, the key here is that if you're actually at the point where you've got interconnection and obviously, the projects that we're talking about over the next 1 or 2 years, I mean construction do have that. There's literally insatiable demand for the power on the other end, and you can pretty much name your price in terms of contracted prices and durations right now. But the interconnection problem in the U.S. is not just in getting tied to the grid. I think an even bigger problem is emerging from large load customers who are trying to tie on to the grid. Now they're getting refused because there just isn't enough power. So it's both sides. There's a backlog of projects trying to link to the grid nand an even backlog -- a bigger backlog of customers trying to get access to power. So it's pretty wild and crazy. I mean if you look at the broader renewable landscape, particularly the equity valuations in the public markets, I think the sky was falling. But at its fundamental hearts, these are power producers. Nobody who's operating in the industry has seen anything like the current environment in terms of demand for what they produce. The challenge is what sits in the middle and just making all connect and happen. So I don't know if I've ever seen anything disconnected in terms of market apathy. And in fact, I mean downright like hostility towards a sector, fear amongst investors of political backlash are being invested in the sector. I mean these are the kinds of backdrop situations that you're out there. And yes, name your price if you can bring the power to the market. It's pretty wild and crazy. It's like it's hard to call a contrarian when the supply/demand situation is so robust. But as far as sentiment goes, wow, polar opposite. It's really fun. Sorry, I might have got off on a tangent there.
Operator: [Operator Instructions] At this time, we have no more on the phone.
Flora Wood: Sylvie, can you hear me? I'll read a couple more that we've got. And Craig, I'll also give you a call just on both deployment and your question around ballpark expectations. So there's a question from Carey MacRury at Canaccord. This is sort of a follow-on to what Craig asked. And knowing you don't want to get into detail on development stage versus operating, what about preferred commodities for new deployment?
Brian Francis Dalton: I'm going to pass on that one, too.
Flora Wood: Okay. Luckily for you, there's more. So Adrian Day at [ Adrian Day ] Asset Management has a couple of questions around Silicon. So first one, any expectations on when to expect the final award on the arbitration?
Brian Francis Dalton: I hesitate to guess because any guess I've ever made up to this point has usually been pretty wrong, although I think it may be close. We have been asked to submit payments to the arbitrators quite recently. And it was -- I think the quote from the arbitration center was final payments. So I don't know, I assume that means that the award is very close here. It presumes, I guess, that they wrapped up their work and their billings anyway or at least they've predicted the remaining amount. So who knows, but some signals anyway that it may be close.
Flora Wood: Excellent. The comment that you made around retaining the 0.5% NSR on Silicon, you noted the addition of precious metals as a component to the portfolio. Adrian asked, are you implying you might decide to keep precious metal royalties from your future discoveries? Or might you even seek out new precious metal royalties?
Brian Francis Dalton: I think all of the above that we used to be -- we used to look at ourselves as sort of having 4 different pillars or verticals or whatever the term people like is precious metals with the addition of Silicon. And quite frankly, as [indiscernible] comes on right now, that's basically a gold mine of copper credit versus what we thought we were buying, which was a copper gold credit. So we're going to continue to explore in our PG business for gold as well as everything else. That's always been the case because the competitive dynamics of buying precious metal royalties don't exist there. And in fact, they tend to be really attractive targets for the PG team just because such a widd customer base available for them. Yes, open-minded to acquiring. I think something would have to be we'd have to probably find something that we feel like we have some kind of a technical edge on to be successful if it came down to acquiring more precious metal royalties because we're not going to compete on cost of capital relative to the more precious metal-focused peers. But look, it's a new pillar. So for sure, we're more open-minded to it than we would have been. I mean, again, we've never been antiprecious metals. We've always just said that it can't really be a serious focus for us because we're not going to be competitive on a cost of capital basis. That's really what it's been about. It's not like we don't want to be gold -- have gold in our system. And we don't have the same issue that, say, a precious metals royalty company has in worrying about losing their multiple because they've got too much nonprecious metal components. The inverse isn't true, where -- yes, it's just -- so yes, let's be realistic as well would be my answer.
Operator: And at this time, Ms. Wood, we have no other questions from the phone lines. Please proceed.
Flora Wood: Thank you, Sylvie, and thank you to everybody on the call and for your questions, and we'll look forward to talking to you for Q3.
Brian Francis Dalton: Thank you, everyone.
Benjamin Gerard Lewis: Thank you, everyone.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.